Operator: Good morning, my name is May and I will be your conference operator today. At this time, I would like to welcome everyone to the fourth quarter earnings release conference call for Sovran Self Storage. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question and answer session. If you would like to ask a question during this time, simply press star then the number one on your telephone keypad. If you would like to withdraw your question press the pound key. Thank you, I would now like to turn the conference over to Mr. Myszka. Sir you may begin.
Ken Myszka: Thank you and good morning and welcome to our fourth quarter conference call. As a reminder the following discussion will include forward looking statements. However our actual results may differ materially from projected results. Additional information concerning the factors that may cause such differences is included in our company’s SEC filings. Copies of these filings may be obtained by contacting the company or the SEC. While Sovran experienced another period of strong operating results in the fourth quarter last year with same store revenues and net operating income increasing by 3.5% and 5.7% respectively over the fourth quarter 2006. Dave Rogers our Chief Financial Officer will provide details in a moment. Overall I’m pleased with our company’s performance last year despite turbulent economic conditions, we had a good year, both operationally and strategically. I’d like to mention some of our accomplishments. After experiencing relatively lower same store Annaly gains in the first half of the year, we once again generated same store Annaly gains of better than 5% in each of the third and fourth quarters of 2007. We purchased 31 stores for approximately $137 million at relatively attractive cap rates. Most of the new stores are in existing markets, however we also entered the Huntsville Alabama market with four stores as part of a 14 property acquisition. We continued our ambitious multiyear expansion and enhancement program, expected to generate up to 600,000 square feet of additional storage space and conversion of as much as 250,000 square feet of climate or humidity controlled space. We also continue to rollout [unintelligible] and drive our humidity control system at select stores. In addition, we increased our dividend for the thirteenth consecutive year. So, we’re proud of our achievements and we’re excited about our company’s future. Now I’d like to provide a brief update on our fourth quarter results. A major contributor to our performance continues to be our customer care call center. The rigorous training exercises our call center representatives participate in and are paying off. Our closing rate for Q4 07 was nearly 4% higher than Q4 06 on a same store basis and several other metrics show positive results. Similarly our truck program continues to roll along, the free use of the truck makes it easier for our customers to select Uncle Bob and then move into their spaces. We currently have trucks operating at 251 stores. Our humidity control system, Dri-guard, has been installed in 92 Uncle Bob’s stores. The rate we collect on dry air treated units are running between 26-28% higher than non treated units and we expect to continue this conversion process at select stores throughout this year. Our internet sales program continues to generate excellent results. Rentals generated this quarter, the last quarter of 07, exceeded Q4 06 by nearly 5% and our cost per rental decreased by approximately 2%. We completed climate control conversions or expansions at 12 stores in the fourth quarter at a cost of $9.3 million. For the year, we completed 31 projects at a total cost of $26 million. We currently have 14 projects underway at an expected cost of $17 million and also have 15 additional projects under evaluation with more in the queue. On the acquisition front, we’ve purchased four additional stores in the fourth quarter for a total of $10 million. Two are located in Jackson Mississippi, one in Houston Texas and the other in Louisville Alabama, all existing markets. And although we closed on these four stores, I think it’s important to point out that we terminated contracts to purchase nine other stores due to concerns discovered during our due diligence process. As we’ve mentioned many times before, we remain disciplined buyers. And with that I’d like to ask Dave Rogers to give some details on our financial performance.
Dave Rogers: Thanks Ken, with regard to operations for the quarter, total revenues increased by $6.9 million or 16.1% over 2006’s fourth quarter and property operating expenses increased by $1.5 million. These increases resulting in an overall NOI increase of 13% were primarily due to improvements in the same store results I’ll get to in a minute and the addition of the 40 stores we purchased since the third quarter of last year. Average overall occupancy was 82.2% for the quarter ended December 31 and average rent roll per square foot was $10.42. Same store revenues increased by 3.5% over those of the fourth quarter of 2006. This was purely rate driven as our same store weighted average occupancy for the quarter declined from that of 2006’s fourth quarter by 170 basis points to 82.8%. Other income decreased by about $140,000, primarily as a result of reduced insurance sales. At the quarter end date, same store occupancy was 82%, down 180 basis points from last December 31, but rental rates were higher at $10.56 per square foot as compared to the same store rate of $10.16 last year. Operating expenses on a same store basis decreased by 50 basis points this period. As we discussed on our last couple calls, our property insurance costs declined on a quarter over quarter basis by almost $300,000. And again I’d like to emphasize our risk profile has remained constant with that of 2005 and 2006. We paid up for good coverage last year, this year we’ve retained the coverage but we’ve enjoyed a premium reduction of about 30%. Landscaping and property maintenance costs are the only categories in which costs have increased by a significant amount, growing by about 5% over those of last year’s fourth quarter. We trued up our property tax expense this quarter as our Florida and Texas invoices came in and we enjoyed a bit of a benefit as our accrual through the first nine months of the year was a little bit high. For the year, property taxes increased by about 2%, but that’s a little bit misleading because Texas changed their game on us. Overall, property taxes in Texas were reduced. A business franchise tax was imposed in an almost three fold amount, so this had the effect of reducing our property operating costs but increasing our G&A expense to the tune of about $250,000 this year. Personnel, advertising and most other costs remained flat or decreased a little bit over last year. So growing the top line by 3.5% and adding to that the benefit of a 50 basis point reduction in expenses, resulted in a same store Annaly growth for the quarter of 5.7%. Our G&A costs for the period came in at about $4 million which was pretty much as expected. It’s about 13% higher than last year’s fourth quarter, but we’re operating at about 40 more stores and we’ve also included that above mentioned franchise tax in G&A. With regard to our capital picture, we acquired two stores this period at a cost of a little over $10 million and continue to finish work on quite a number of E&E projects which required an additional $12 million. Further, as Ken mentioned, we’ve accelerated our painting, landscaping and roofing projects and spent about $5 million this quarter on such what we call lightening and brightening projects. These are a $9 million on our line this quarter and another $6 million on the term [love] that we put in place and that’s what we used to fund the purchases and improvements that I just mentioned. In the coming months we expect to turn out our line of credit by selling long term fixed rate unsecured notes. Our line expires in September of this year and we’ve begun discussion to renew and re-tap that deal and don’t really foresee any difficulties in doing so at least a rate and terms consistent with that that we already have. Our overall outstanding debt is now $567 million and except for the line and the short term debt totaling $106 million, all is long term or fixed rate and hedged to maturity. About 20% of our borrowings are secured. Debt service coverage in the fourth quarter was about 3.2 times EBITDA, fixed charge because we don’t have any preferred stock anymore, it was likewise 3.2 times EBITDA. Our debt to enterprise value was about 40% at December 31. We remain conservatively capitalized with sufficient flexibility and capacity to fund the plans we have. With regard to guidance, as we mentioned in the previous few calls, our recent comps have provided us with a bit of a challenge and overall the storage sector has become a bit more competitive. But for the most part, supply growth in most of our markets anyway remain constrained so we continue to have opportunities to increase rents. We expect same store net operating income next year to grow at about 3-3.5% based on revenue growth of 2.5-3% and expense increases of about 4-4.5%. G&A costs are targeted at about $4.2 million per quarter and we don’t plan on an increase in those unless we have greater than forecasted external growth. The acquisition environment is pretty much unchanged. There are many properties in portfolio than is even on the market, our own [buy hopes] which can be coerced into selling. Unfortunately though, despite recent jolts to the capital and the debt markets, seller expectations have not been appreciably reduced. While we closed on $125 million of acquisitions this year, the vast majority was in the first half. We’ve been selective and disciplined and in addition to a solid initial yield, we’re looking for some substantial upside improvement in the purchases we make. For purchases of for purposes of guidance, we’re forecasting $50 million of accretive acquisitions with much of that expected to occur later in the year. So in essence what we’re doing is we’re taking a wait and see approach until we see market conditions and seller expectations settle out a little bit. Our expansion program will continue and we expect to make expenditures in excess of $40 million in 2008 to enhance revenue capabilities at our existing property. In 2007, we spent almost $25 million on such improvements, some of which are just beginning to come on line and to accrue. We’ve continued our program of accelerating the paving and fencing projects at many of our stores in an effort to improve curb appeal sooner. We expect to spend about $12 million on our same store pool in 2008 and an additional $5 million or so on the 2007 and late 2006 acquisitions. To give you a better handle on our interest costs, we’re not obligated on $462 million of long term fixed rate or hedged loans. Our annual interest cost to carry this debt including the amortization of financing costs is about $30.6 million and this part of our debt structure won’t change in 2008. The only variable component in our debt structure is related to the $100 million outstanding on our line of credit which carries a floating rate of LIBOR plus 90 and $60 million on a term note which is priced at LIBOR plus 120. We do expect to issue shares for through our DRIP program or continue to restrict the purchase plan sale. We’re projecting about $10 million in equity issuance this year via the DRIP. So to put number to our plans and give a little bit more clarity on the press release, we expect to refinance our short term LIBOR $100 million debt with a ten year fixed rate note. And we’re paying right now about 4.3% or thereabouts, I haven’t looked at the latest rate but about 4.3% on a short term rate. We would hope at current conditions to pay something on the order of 6.25-6.5% on a ten year fixed unsecured note. That’s going to cost us depending on when we pull the trigger $0.05-$0.07 this year in extra interest costs. We’re not counting on any external pop in the forecast that we gave because we don’t really expect to be doing any acquisitions until it’s too late in the year to have any significant impact on our results. We do expect to experience a bit of drag on our earnings resulting from the $40 million we’ll be putting into our E&E program. We think this will cost us about $0.04 this year in carry costs. The fact that we haven’t included any external growth in our forecast doesn’t mean we don’t plan to have them. At this time though we don’t have significant numbers of acquisitions in negotiations and in the interest of adding value as opposed to size, we’re comfortable waiting things out for a couple quarters. We think making the physical improvements to our existing portfolio and redoubling our efforts on marketing, pricing, strategies and service should better serve us in these times. Other opportunities such as joint venture programs and third party management are being discussed and explored but we’re not far along with these to include them in guidance or forecasts. So given all of the above we estimate [unintelligible] from operations in 2008 to come in at between 350 and 356 and between $0.80 and $0.83 for the first quarter of this year. At this point I’ll turn the program back to Ken.
Ken Myszka: Thanks Dave. So that concludes our prepared remarks and we’d be pleased if you have any questions anybody might have.
Operator: At this time if you would like to ask a question please press star one on your telephone keypad. Again, that’s star then the number one. Your first question comes from the line of Christeen Kim with Deutsche Bank.
Christeen Kim – Deutsche Bank: Hey, good morning, could you maybe talk a little bit about the demand side and what you’re seeing in terms of traffic and call center volume you know year over year and kind of versus your expectations.
Ken Myszka: Yeah, in the fourth quarter we saw actually on a same store basis, somewhat of a decline in calls in our call center in the market that we expected it to be based on the results we’ve had which is primarily in Florida and South Carolina where we had some issues as well as the capital district. The rest of the portfolio we had actually a little bit better call volumes and our closing rate in those areas was a little bit above what we anticipated. You know some improvement over the year before. What I can say too is January gave us a little bit of cheerfulness if you will because comparing this January to last January on an in and out basis, we were far better than what we did in January of 07. So we’re cautiously optimistic that in particular in Florida we saw about flat with respect to the move ins but significantly less move outs than we’ve had in January of last year. So you would think the worst is behind us in that area anyway.
Christeen Kim – Deutsche Bank: I mean is that difference really attributable just to the change in Florida then? The next move outs or…
Ken Myszka: Yeah a big part of it was there. The rest of the markets that we’re in were pretty much in line with what we anticipated. We saw a little bit of, we don’t have a ton of stores in these markets in Tennessee and South Carolina, but we saw an improvement in those markets as well. But Florida because we have such a concentration of stores, that’s what we’re looking at and we felt pretty good about the results in that space if you will.
Christeen Kim – Deutsche Bank: And just in terms of your 08 guidance, you’re looking for a 3-3.5 Annaly growth, what are you looking for in terms of top line?
Ken Myszka: We’re thinking in the range of 2.5-3. We think we’ll get back a little bit of occupancy but again, what we’re finding is most of our customers are absorbing the rate increases. There’s a little bit less pop in occupants but we’ve split now to, for the last eight quarters or so our quarter over quarter occupancy is [up] a little bit more than we thought so we think we have a little room for occupancy but most of the [unintelligible].
Christeen Kim – Deutsche Bank: Obviously 2008 is a much more turbulent year economically, so I mean what would it really take to really throw you off that 2.5-3% top line growth?
Ken Myszka: Well we think we’ve been pretty conservative in our forecast here. We feel pretty comfortable with that. But very honestly after what happened in 07 and as you say the things that are going on in the housing market, subprime how in the capital markets, we’re reluctant to be any more aggressive than we have been. We’re out first month on a positive note but our crystal ball is still a little foggy so we’ll just take it one month at a time and hopefully we can exceed what we forecasted.
Christeen Kim – Deutsche Bank: Great, thanks guys.
Operator: Your next question comes from the line of Craig Melcher with BITI.
Craig Melcher – BITI: Thanks, in terms of the, repaying the line of credit, how far down the road have you gone since getting the rates and the availability of that unsecured financing, just since you haven’t seen go on in that market recently.
Dave Rogers: Well we’re fortunate to have a long term and pretty solid syndicate in our line of credit so we have a dialogue with almost all the people in that on a pretty regular basis actually. We’ve just talked about parking and turning over the line, as I’ve said we’ve got until September to do it but we, I don’t have any indication that things are going to be tighter. You know the pricing on LIBOR, the spread we’re paying now, we’re rated at BBB-, that helps us quite a bit I think. But all the discussions we’ve had in the last three months or so have pointed to the fact that okay we’ll just roll this thing and maybe we can ease a couple covenants and maybe shave 10-15 basis points off the spread. So that’s, you know I’m not ready to pull the trigger, I’m going to probably until summer, but that’s the discussions we’ve had over the past couple months.
Craig Melcher – BITI: And in terms of the economic outlook, if it turns out that we are in a recession now, how do you think that would impact that revenue growth. I mean does your guidance assume that we don’t have a recession or does it matter?
Ken Myszka: Well you know one thing in our comments, what we have experienced in our 20 some years in this industry is when we do go through a recession, we’re not immune from them but we do have some resiliency. We, because we’ve had short term leases, people generally will stay with us a little bit longer than people who have to renew a five or ten year office lease or a retail lease. They might cut back there and come to us because we’re a little less expensive on a per square foot basis and we don’t have a long term commitment. But as a recession continues stronger and deeper, we suffer along with the rest of the country and an industry. The nice thing though too is, as we start coming out of a recession, once again because we don’t have long term commitments, people will generally start coming to us a little bit sooner. So I guess what I would say is if there is a recession, our experience has told us that our experience with recessions is that we’re, a little bit shorter and a little bit shallower than other industries.
Craig Melcher – BITI: And in terms of your G&A for 08, is the run rate in 4Q good or is there any other items that may impact?
Dave Rogers: Unless we have some significant external growth, we’re forecasting about $4.2 million per quarter and that should be at our present level of operations.
Craig Melcher – BITI: Thank you.
Operator: Your next question comes from the line of Christine Mcelroy with Banc of America Securities.
Analyst for Christine Mcelroy – Banc of America Securites: Hi this is actually [Finip Parik] here with Christy. Wanted to know about same store expense growth in 2008, could you break down the drivers of that?
Ken Myszka: Mostly [Finip] we are looking at pretty stable, we’re forecasting about 5% property tax growth. We’re forecasting about 3.5-4% personnel benefits and healthcare costs. Insurance, we’re flat unfortunately, maybe even a tad less than we’ve had this year. We had a significant decrease as you know from 06 to 07 and presumably we’re negotiating and I think we’re going to be in pretty good shape in 08. Utilities, we are, actually we’ve been pleasantly surprised. We’ve got some controls that we put in and it’s not a big component in our expense load but we’ve been fearing the worst the last couple years and we’ve been doing okay with it. So I think big numbers that are going to be over 4-4.5% are probably property taxes, maintenance contracts and bank charges of all things. Our credit card charges, we’re able to negotiate better and better rates every year but more and more of our customers are paying with credit or debit cards so the service fees on those are actually becoming a fairly meaningful number now. Overall I would say expenses are not an issue in our sector that we can see in the coming 12 months.
Analyst for Christine Mcelroy – Banc of America Securites: Okay and you talked about South Carolina and DC seeing slower than expected growth. Is that more demand or supply related?
Ken Myszka: I think its more demand. We haven’t seen a substantial increase as David mentioned in supply. In the capital district, in Maryland and Virginia areas, we are seeing more of the military coming back and when they’re deployed outside of the states we have an increase in usage. So as more come back their need for storage decreases so I think that’s part of the reason for the decrease there.
Analyst for Christine Mcelroy – Banc of America Securites: Okay and I guess lastly, in the press release you talked about entering new markets and a possible high growth acquisition. Could you just elaborate a little bit more on that comment?
Ken Myszka: Well it’s sort of a catch all in a sense that when we do enter new markets we like to do so in a matter of some scale and the high growth acquisitions, it’s more opportunistic, when we go in and we see something at a seven cap that’s really only the first part of the equation, you know we may hate a property at a seven cap because it doesn’t have any real significant growth opportunity or we might love one at a seven cap because we can see perhaps popping occupancy 5-6% and getting some efficiencies in the expense load and so forth by sharing the burden with sister stores in that same market. So that’s really our approach I guess to acquisitions is we want them to be strategic in a way that we’re either going to go into our existing markets so that we can improve scale on the new acquisition or go into a new market with a bunch of stores.
Analyst for Christine Mcelroy – Banc of America Securites: And when you said the new markets, is there any in specific are you targeting besides I guess what you already did in the first quarter?
Ken Myszka: We didn’t go into new markets in the first quarter we’ve been in our existing markets. We’re always looking but we don’t have anything we can talk about or anything really on the boards right now as far as a new city or a new metro area.
Analyst for Christine Mcelroy – Banc of America Securites: Alright, okay, thank you.
Operator: Your next question comes from the line of Paul Adornato with BMO Capital Markets.
Paul Adornato – BMO Capital Markets: Hi, good morning. You mentioned that nine properties fell out of the acquisition pipeline or you terminated the contracts rather. Was that one transaction and was wondering if you could provide a little color as to why you passed on those.
Ken Myszka: It was a number of, a couple of one off, some were where you had, one was a private property portfolio and it was different reasons and different situations but in some cases we on our due diligence they weren’t performing as we thought they would. Others we checked out and saw there was some new competition that would be coming on. In other instances it was a multiple package and we decided after due diligence that we weren’t interested in all of them so instead of buying five of them we bought two. Some we couldn’t get some changes in some [edinant] laws that we’ll still keep an eye on if they can change it we’ll do it. So you know we said before for every ten we look at we might buy two or three and this was the case where we liked the properties when we entered the contract but we do very intense due diligence. It’s time consuming, it’s expensive but we found many times the best decisions we’ve made have been to not buy something as opposed to buying it.
Paul Adornato – BMO Capital Markets: Okay and looking at Florida, was wondering if you could give us the sequential picture in terms of occupancy and overall profitability of Florida.
Ken Myszka: Well, our occupancy let’s say from 2006 was probably in the mid 90’s, high 90’s generally speaking. The last year we experienced it going down in 2007, was down to about 86%. Right now it’s in that range, about 84-86% throughout the market. So it’s not awful and in fact generally speaking that would be [unintelligible] when the [unintelligible] but in comparison to what we’ve had, it does hurt. As I mentioned earlier though we think the bleeding so to speak has stopped in Florida. [The yins] are a little competitive than were last January but the biggest thing is the people moving out. That’s the stopped, started in December also in January so it was a good trend for us. But the other thing we’re doing too is we are offering more concessions to get people in there. We keep our street rates where they are so that we give them a onetime concession to move in but then after that first month or the second month their rates go back up to what the street level would be. So it’s, trying to entice people to come in and our sales people here at our call center are doing a wonderful job in trying to convert every call that we get into a sale. 
Dave Rogers: [Overlay] a little bit Paul, we, the Florida operating, top line of Florida shrunk by 4% even though occupancy from peak to valley I guess shrunk 10-11% from 06 to 07, revenues dropped by just under 4%.
Paul Adornato – BMO Capital Markets: And the valley, was that fourth quarter, is it the first quarter of this year or do you think you still might you know have another down quarter in Florida.
Dave Rogers: Well we hope the valley was fourth quarter, we think as Ken said, things are improving there with significantly less move outs and the same number of move ins. So I think we should be again, that’s a really hard state. In the sense that there’s so much going on there with housing, with construction, with the state all of the sudden becoming a net move out state, it’s hard to say. But it looks from our portfolio anyway that the bottom was two months ago.
Paul Adornato – BMO Capital Markets: Okay, thanks very much.
Operator: Your next question comes from the line of Michael Salinsky with RBC Capital Markets.
Michael Salinsky – RBC Capital Markets: Good morning guys, David in your comments you mentioned that you were basically going to take a wait and see approach on acquisitions in terms of pricing. Can you talk about what you’re seeing so far in cap rates, you know where you need to see cap rates go before you become a big player again?
Dave Rogers: Well, cap rates on A quality properties, either, irrespective of market size, the better properties in every market have not changed much. We’ve looked at something in the order of a little over $1 billion worth of assets in the past five or six months and had looked at some of those even in the middle of 06 and they came back on the market or whatever. And the better properties I can say for certain are not going for any less than they did two years ago. I think what we’re seeing is a large number of class C or B properties that are coming on the market and there’s been some degradation in pricing there. You know we’re looking at, we’re not, but we’ve seen properties come out at 8.5 cap and especially for example in some parts of the higher stressed areas, Vegas, the outlying areas, a lot of properties that were built three and four years ago that haven’t [leached] up their sellers are or their owners are looking to sell because of liquidity constraints and so forth. But I think it’s a real bifurcation of a nice institutional grade assets holding firm on pricing and the very, very tight around the seven and the standalones and the further out type stuff being in the eight plus range.
Michael Salinsky – RBC Capital Markets: So it’s fairly safe to say that up until this point the financing hasn’t had a significant impact on cap rates?
Dave Rogers: It has not. I mean some of it might and we were seeing the CMBX market in the early fourth quarter just dry up completely and what that does is that takes out of the game one of our biggest competitors which is refinancing, an existing seller refinancing his existing property with a new mortgage. We thought if that was going to dry up we might be in a position to take advantage of some of that but it seems like the window opened right back up again and while it’s not as aggressive as it was, it looks like for our property type, established and mature property, it’s not too hard to get 75% loan to value on a non recourse basis which is important to a lot of these sellers. So I would say, short answer is, no change in cap rates right now.
Michael Salinsky – RBC Capital Markets: Okay, you had moved your insurance I believe earlier this year to a renewal, is that already imbedded in your guidance?
Dave Rogers: Yes it is.
Michael Salinsky – RBC Capital Markets: Okay and was that pretty comparable to the previous rate?
Dave Rogers: Yes, pretty good with the year that we just ended.
Michael Salinsky – RBC Capital Markets: Okay and then with your capital projects, could you refresh us of what the returns you’re looking for on those are.
Ken Myszka: Well what we’ve been experiencing Mike is that what we’re anticipating in the range of once they’re fully operational remains of 11-13% return on investment. And we go, essentially we go through all of our stores each year with the changing market conditions and inventory demand and then put them in a queue as far as valuations and we don’t really go through it with these expansions and or enhancements unless we can anticipate a double digit return.
Michael Salinsky – RBC Capital Markets: Okay, then finally on your revenue guidance the 2.5-3%, you did 3.7% in the fourth quarter and you sound like, you mentioned that Florida has finally bottomed. I mean I would have anticipated the revenue growth would be a little bit stronger than that. I mean what’s the biggest drivers pulling that down essentially for 08?
Dave Rogers: We’re pretty concerned about the housing market in the sense that that’s a pretty significant part of our business, people who list their houses for sale, we’ll work with, we have a network of realtors who our managers work with to, when a house gets listed, the realtor calls our manager and says I got a customer for you we’re going to have them [zoom] a bunch of junk out of their house to make their house look bigger and better. That’s one part of it. Obviously the transitional part, people moving out of a house late and then moving into a new one, waiting to move out of town and we’ll store their goods. You know the more we hear about the housing slowdown, that’s about 19-20% of our business so we’re expecting an impact there. Another fairly decent chunk of our business comes from subcontractors, the guys that work out of their pickup trucks and vans and do drywall and electrical and plumbing. If the housing construction slowdown is a significant in especially the areas of Arizona and Florida that we expect, then that’ll have a bit of a trimming on our sales. So you know you see as Ken said it’s pretty foggy right now. This is as hard a time to forecast as I think we’ve ever seen in our 22-3 years in the business and I can’t pick a specific reason why we’re talking 2.5-3% but it seems given we’ve been [chugging] down a little bit the last couple quarters, I think we’re in pretty good shape. But nonetheless I think [unintelligible] are a little bit on the side of caution.
Michael Salinsky – RBC Capital Markets: And finally in the fourth quarter there on the other rental income line you had a fairly sizable drop, over 9%, where trucking revenue and packaging and all that stuff falls in. Was there any major driver for that?
Dave Rogers: Yeah there was one, it was primarily insurance. The biggest components of our other income are truck rentals, sale of lots and boxes, cell tower checks that we did as royalties and sale of insurance. We sell a third party carrier’s insurance and earn a commission on that and they had a big push in 2006 at the end of the third quarter going right into the first of the year and it was very successful. We sold a lot of insurance and got a premium commission on that and this quarter that program wasn’t there. We didn’t realize how much it was in 06 until we saw the drop off in 07, so it was a one, I’m pretty sure a onetime thing, it was a nice little bubble we’ve had in 4Q of 06 but as far as the sale of ancillary merchandise as far as the truck rental program, those are solid. And the insurance is something we actually don’t do so much for the money or the commissions earned but rather to protect ourselves and point out to our customers that you’re not insured by us here. If you want, if your homeowners or your business insurance doesn’t cover it, take advantage of this third party plan and we’ll do the paperwork for you. So we just had a nice pop in 06 and didn’t get the same in 07.
Michael Salinsky – RBC Capital Markets: Great, thanks guys.
Operator: Your next question comes from the line of Alan Calderon with European Investors.
Alan Calderon – European Investors: How you doing guys, first question, the fourth quarter occupancy level, was that anticipated by you when you were on the third quarter call?
Dave Rogers: Pretty much, you know it’s down from last year by about 180 basis points which is about where the third quarter over third quarter drop came in. We’ve had some slippage in occupancy and it’s been made up in rates through the year. But yeah we did not expect to see great things with occupancy and the year over year is pretty big but the drop from the second quarter, second quarter to third quarter, third quarter to fourth quarter, fourth quarter were all pretty similar.
Alan Calderon – European Investors: And if you said Florida is in the 84-86% range, where was it that was really bringing that average down to like 82% range?
Dave Rogers: We have a lot of stores in Texas that are, they may never be better than 80-81%, only because they’re so large and we bought them on a cap rate basis. You know we carry a bunch of states that had we built these stores ourselves or bought purely on a square foot basis we wouldn’t. But we have some fairly large stores in parts of Texas and also here in Western New York and Ohio that we bought not too long ago where, again, buying on a cap rate we’re not so concerned as to your occupancy. But some of those stores we bought at 68, 70, 72% occupancy. So you know it’s a little bit alarming especially if you’re in the across the board looking at real estate and you see a sector that only has 80-82% occupancy but you know we’re more concerned with the overall revenue stream and how we can grow it and a lot of it comes from rate but I guess the answer is that we’re not alarmed by this partly because it’s inventory that we purchased knowing we probably wouldn’t be able to fill it up.
Alan Calderon – European Investors: Alright, okay, as I calculated your average occupancy for the year was about 84%. In 08, relative to 07, it sounds like your guidance is guiding to approximately flattish? Am I reading that correctly?
Dave Rogers: I think, yeah, yes you are and I don’t know how hard we’ll stick to that because as we’ve said on prior calls, we pretty much let our rate management team which consists of our area managers and some people here at the home office, we let them pretty much determine where they’re going to get their overall top line growth from and it’s done on a, not only a store by store basis within a market but on a unit size by unit size basis within the market and we’re pushing and pulling against our competition and what our demand is. So we feel pretty confident with our revenue growth numbers but we could be off by 150 basis points or so as to whether we get it from revenue rates or raising rates or from occupancy.
Alan Calderon – European Investors: Alright, finally on the fourth quarter acquisitions you did it sounds like they were at pretty low price per facility levels. Is there anything specific there or am I missing something there?
Dave Rogers: Well it was, typically we buy on a cap rate basis in those markets, cap rates weren’t too brutal. We did some in fills right in stores that we had or the market that we had in Jackson Mississippi so they were pretty, I think the Houston store was a little bit older but the four stores on balance fit in with the properties that we have right around them.
Alan Calderon – European Investors: Okay, did you say what the cap rate was on those acquisitions?
Ken Myszka: No we didn’t but they were well over seven, let’s just put it at that in each case, well over seven.
Alan Calderon – European Investors: And is there potential to increase that over the next year or so?
Ken Myszka: Yeah, that’s, I mean our track record is generally within 12-18 months when we buy a facility, especially on a one off situation. We generally experience about 100-150 basis point increase in net operating income. That’s what our goal is for these four.
Alan Calderon – European Investors: Okay, thank you very much for your time.
Operator: Your next question comes from the line of Chisteen Kim with Deutsche Bank.
Christeen Kim – Deutsche Bank: Just one quick follow up guys, in terms of you know bracing for a tougher environment in 08, are you guys telling your you know call center people or your onsite staff to do anything differently to kind of brace yourself for what may be a tougher year?
Ken Myszka: Really, what our call center people, they’re training to answer the phone, to as they’ve said, we have [ready do] management techniques put in place and so in a situation where Texas or Florida, a particular store for a particular unit size, they know what their variance is as to what they can offer a person. You know let’s say it’s a ten by ten, and we’ve had a lot of vacancies, they may, we have a position price A, B or C and if it’s B that might be a $90 for that month and the possibilities perhaps to give them a free administrative fee. So they’re trained to do their jobs regardless of what the market is telling us. We tell them what price they can charge to anybody who’s calling them. So and likewise with the managers, when they have a walk in customer, you know the manager knows what he or she can charge and what kind of a concession they might be able to give that person to get them as a customer. So you know they may be aware of what’s going on generally speaking but they have certain boundaries within which they must try to get the sale. And our goal is to train our people to do that on a regular basis and then the revenue management is designed to try to take advantage of a situation where we have to find demand consideration.
Christeen Kim – Deutsche Bank: I guess I mean are you then telling your call center staff and your onsite staff to do anything differently? Are you increasing that variance in that concession at all just to maybe keep your occupancy a little bit safer for what might be a rougher summer season?
Ken Myszka: I guess the answer would be yes, we are giving more concessions to get people in. In particular let’s say Florida, in the last quarter, fourth quarter of last year, the concessions we gave there were more frequent and larger than we gave in other parts of the country for that fourth quarter. So depending upon occupancy and what we’re seeing with demand, we’ll either have them give greater concessions in Florida for instance but in areas that we’re doing well, let’s say in parts of Texas, we won’t give as many concessions because we have the occupancy there. I don’t know if I’m answering your question.
Christeen Kim – Deutsche Bank: Yeah, pretty much, thank you.
Operator: There are no further questions at this time.
Ken Myszka: Well thank you very much for your interest in our company and your participation on our call and we look forward to seeing you or hearing from you anyways in the next three months. Have a great day.